Operator: Good morning, and welcome to Canopy Rivers Fiscal Results Conference Call for the Quarter ended June 30, 2020. I am joined this morning by Narbé Alexandrian, President and Chief Executive Officer; and Eddie Lucarelli, Chief Financial Officer. They will be making some formal remarks following which we will conduct a question and answer session. At this time, all lines are in a listen-only mode [Operator Instructions] This call is being recorded on August 14, 2020. For your convenience, the press release, MD&A and condensed interim consolidated financial statements for the quarter ended June 30, 2020 are available on the Investor section of Canopy Rivers website at www.canopyrivers.com, as well as on SEDAR. Before we start, please note that remarks on this conference may contain forward-looking statements about Canopy Rivers and its investee's current and future plans, expectations, intentions, financial results, levels of activity, performance, goals or achievements, or any other future events, trends or developments. To the extent any forward-looking information contained in our remarks constitutes financial outlooks, this information may not be appropriate for any other purpose and you should not place undue reliance on such financial outlook. The forward-looking statements are made as of the date hereof based on information currently available to management, and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause results to differ materially from those expressed or implied by the forward-looking statements. Financial outlooks are also based on assumptions and subject to various risks, and the company's financial position and results of operations may differ materially from management's current expectations. As a result, Canopy Rivers cannot guarantee that any forward looking statements will materialize. And you are cautioned not to place undue reliance on these forward looking statements. Forward looking information is made as of the date given and except as may be required by law, Canopy Rivers undertakes no obligation to update or revise any forward looking statements, whether as a result of new information, future events or otherwise. For additional information on these assumptions and risks, please consult the cautionary statement regarding forward looking information contained in the company's financial results press release dated Friday, August 14, 2020, and the risk factors in the MD&A and the Company’s annual information form dated June 2nd, 2020. Please note that Canopy Rivers reports in Canadian dollars and all dollar amounts expressed today unless otherwise stated are in Canadian currency. I will now like to turn the conference over to Narbé. Please go ahead.
Narbé Alexandrian: Thank you. Good morning, everyone. Thank you for joining us today and for your interest in Canopy Rivers. This morning, we reported our financial results for the quarter ended June 30, 2020. I will begin the call with some highlights for the quarter. And then I will turn it over to Eddie to provide you with a more detailed review of our financial results. I will then provide an update on corporate and portfolio milestones that occurred subsequent to quarter one before we take questions. At the onset of the novel Coronavirus pandemic there were a lot of questions about how the economic fallout might impact the cannabis industry. We are now roughly six months in and its our view that while the pandemic has introduced new and unique challenges for cannabis firms, the long term implications of what we see has signalled a bright future for the industry. I want to share some of the trends we have observed during this period. First, cannabis was deemed an essential business in many jurisdictions in the U.S. and Canada and in many jurisdictions this designation was underscored by strong sales, particularly in certain U.S. states sales remained strong in the early weeks of the pandemic. For example, in Oregon sales grew 45% year-over-year in the month of April, totaling US$89 million in recreational and medical revenues. Ohio, one of the more recent states have legalized medical cannabis reported strong numbers, with sales reaching US$14.2 million in April, up nearly 50% from March as its retail infrastructure developed. In Canada, Statistics Canada reported that cannabis sales in May grew 4.2% from April, implying the potential for a $2.2 billion annualized market. What we think is notable in Canada though is the growth of the value market, for the value segment, meaning cannabis dried flower sold for less than $6 per gram. In the past six months, this category has grown from 6% to 26% of all dried flower sales in Canada. We believe this could have significant implications for the market, as a value segment may -- help convert the 80% of cannabis users still turning to illicit or legacy markets. A challenge for licensed producers in the coming months will be capturing brand loyalty in a dried flower market where consumers are chasing value. A recent survey published by Brightfield Group found that many consumers are making purchase decisions based on price rather than brand. The survey found that consumers are also suffering from decision fatigue as they see too many seemingly similar products. We believe there is a clear opportunity for low cost producers in our portfolio to just PharmHouse Agripharm and are working about to grow quality, high-THC cannabis for the value segment. Looking back to the U.S. we're also seeing more states intending to put cannabis legalization in the hands of voters this November. As of July 30, 33, U.S. states had adopted medical cannabis frameworks, while 11 states allowed for the recreational sale of cannabis. This momentum is expected to carry into this fall to Arizona, Montana, Mississippi, Nebraska, New Jersey and South Dakota have all certified 2020 ballot measures relating to cannabis. The continued adoption of legal frameworks is a welcome sign for our U.S. exposure through our investment in TerrAscend. We believe that as the dominoes continue to fall across the states, the federal government will in time adopt a national legalization framework that may serve as a trigger event for exchangeable shares in our TerrAscend investment. After tracking Canadian sales data and comparing it to mature U.S. markets, we also believe cannabis 2.0 products are a segment with room for growth. We expect that new 2.0 offerings will be informed by consumer data and insights, and then segmented to capture specific audiences. The cannabis 2.0 products in the market today were largely conceived based on operational capabilities rather than consumer insights. We haven't yet seen the emergence of brands that command a meaningful Canadian market share in the topical, edible and high potency concentrates formats. In the coming months, we expect to see the emergence of brands that understand their audience and clearly communicate their value proposition to them. In our view, the field is wide open. I will now provide remarks and corporate and portfolio updates before handing it over to Eddie for a financial update. Towards the end of the first quarter, we welcome Mike Lee to our board of directors. Mike currently serves as Canopy Growth’s Chief Financial Officer. More recently, Mike served as CFO for wine and spirits division, and head of business transformation at Constellation Brands. We see Mike's addition to our board as a signal of our close relationship with canopy growth and constellation brands, and we plan to further leverage the industry insights, guidance and expertise of the largest cannabis company in the world. In our portfolio, our first quarter was highlighted by an investment in Dynaleo, an Alberta based cannabis gummies manufacturer, which we believe is positioned to become a leading, trusted white label partner for licensed producers and brands that want consistent quality products. Simply put, Dynaleo wants to be the best at what they do by sticking to a thesis that they believe many licensed producers ignored in favor of a broader range of products. They plan to go a mile deep on gummies, with a goal of creating a scale advantage in a single category. Whereas many producers are manually manufacturing edibles resulting in low margins, Dynaleo 27,000 square foot facility is highly automated, potentially enabling them to produce more units with higher margins. They are laser focused on specialization -- our belief around the future of the cannabis industry, a network of horizontally integrated operators that complement one another. The thesis behind this investment is our belief that most licensed producers do not currently have production capabilities to meet consumer demand for gummies. According to calendar research, confectionery items, including cannabis gummies were 90% sold out within an hour of becoming available in the Ontario cannabis store or OCS. This momentum has since continued. In April, Cowen reported that the gummies had an 80% stock at rates for March, 2020 in the OCS, indicating that producers were still struggling to keep up with consumer demand for these products. The supply and demand imbalanced teams to persist, as 40% of skews on OCS site are currently out of stock. We believe demand for gummies will continue to be strong. In Colorado in California, Headset reports that gummies accounted for 55% and 56% of all edible sales respectively. When we compare those numbers to Deloitte’s estimate, the edibles can be worth up to $1.6 billion of a potential $2.7 billion Canadian cannabis market. We believe there's significant opportunity for a large scale gummies manufacturer. Shortly after our investment, Dynaleo received a processing license from Health Canada and signed a letter of intent with Pantry, the California based edibles brand that is eyeing expansion into the Canadian market. Dynaleo is working, closed a number of new deals with medium-to-large LPs, which we hope to discuss at our next quarterly call. Moving on, TerrAscend had a successful few months with three key updates during the quarter. First, the company announced that Jason Ackerman, who was appointed interim CEO in January, would move into the CEO role full time. Jason's 18-years building FreshDirect will be an asset to TerrAscend and as the company executes on its U.S. strategy. TerrAscend also announced an upside non-brokered private placement during the quarter. Initially set at US$30 million, the private placement closed at US$37 million following strong investor demand. Finally, TerrAscend expanded its retail dispensary footprint opening its third Apothecary location in Pennsylvania. I will touch on updates that occurred subsequent to the quarter later in today's call, but we are thrilled with TerrAscend’s progress so far this year. Agripharm also hit a milestone this quarter receiving a license amendment from Health Canada to allow for the sale of dried cannabis, extracts, edibles and topicals. The amendment enables Agripharm to exercise its exclusive rights to introduce leading us based brands from SLANG and Green House Seed Company to the Canadian market. Agripharm plans to initially launch three products from SLANG's portfolio, including the Firefly Mini vapourizer, O.penVAPE, and Bakked Dabaratus, a one-click dabbing solution that delivers a dose of extract. Now moving to plant sciences, BioLumic appointed Steve Sibulkin as CEO in this first quarter. Steve is the founder of Agronomic Technology Corporation, an agricultural field modeling start up that operated at that end and was acquired by Norwegian fertilizer giant Yara International. Steve joined Yara after the acquisition leading the company's enterprise sustainability, partnership and digital initiatives. BioLumic hopes that Steve will help the company move faster and deepen relationship with its key partners, while accelerating the company's ability to bring its innovation to the market. BioLumic also saw promising results in its recently completed preliminary trials in cannabis, which showed chemical free yield increases of upto 44%. THC concentration increases of up to 51% and plant-to-plant yield consistency increases of upto two fold. On the technology side, Headset continue to leverage its technical industry leading -- school to help ensure that the cannabis sector is informed on how consumer behavior and preferences are changing throughout the pandemic. The reports have helped many in the industry to respond quickly and correctly to changing consumer demands amidst COVID-19. Headset has shown strong growth since its Series A financing December 2018, having grown monthly recurring revenue by almost threefold since our original investment. Finally, on the retail end of our portfolio, YSS reported strong results for its first quarter, reporting a 15% revenue increase and 21% gross margin increase over Q4 2019. This follows the successful previous quarter, where YSS open its 17th retail location. As we will discuss later in this call, we're also currently facing some immediate challenges in our portfolio, specifically relating to PharmHouse. We are working to address those challenges and remain optimistic that we will be able to overcome these obstacles. This quarter, we saw some strong momentum in parts of our ecosystem, added to our portfolio despite a challenging economic climate, and welcome new talent expertise to our board of directors. We continue to have a strong pipeline, having now seen over 2200 pitches from cannabis companies all over the world. And our portfolio has had several announcements subsequent to the first quarter. I will now hand it over to our CFO, Eddie Lucarelli to review our financial results in more detail. Eddie?
Eddie Lucarelli: Thank you, Narbé. And thank you again to everyone who's dialled into the call this morning. Before I dive into our financial results for the quarter, as usual, I would like to remind everybody that due to the fact that we do not report financial metrics that are typical of Canadian LPs or U.S. MSO's, which is revenue or cost of goods sold, we posted explanatory materials on our Website at www.canopyrivers.com that provide a more detailed explanation on how to interpret our financial statements. Turning to our results for the quarter, I will begin with our operating results. Net operating loss before consideration of equity method investees and fair value changes was nominal for the quarter, compared to a loss of $3.6 million for the same period last year. Operating income before consideration of equity method investees and fair value changes was $2.7 million for the quarter, compared to $2.1 million for the same period last year. This includes royalty, interest and lease income net of expected credit losses. This income was primarily generated from the company's royalty interest in Agripharm, Radicle and Tweed Tree Lot, debenture interest in greenhouse choose, term loan with TerrAscend in Canada and shareholder loan with PharmHouse. Operating expenses were $2.7 million for the quarter compared to $5.8 million for the same period last year. In May, we announced a series of changes that were intended in part to optimize our organizational structure and streamline operations. As a result of these changes, we achieved a significant decrease in operating cash outflows this quarter. Excluding share based compensation; operating expenses were $1.7 million, which included $1.3 million for employee compensation, marketing and business development and other administrative activities, and $0.4 million for professional fees relating to legal, audit tax, accounting, and other regulatory compliance advisory fees. We expect to sustain this focus on improving cash management going forward. Our share of loss from equity method investees was $4 million for the quarter compared to $1 million for the same period last year. This includes the company's equity interest in Canapar, Herbert, High Beauty, Leaf Link International, PharmHouse and Radicle. Included in our share of loss this quarter was our 49% share of the $9 million net loss at PharmHouse as the joint venture included a higher level of operating expenses than previous periods, as it ramped up operations subsequent to the receipt of its immediate [ph] cultivation license. As we have previously noted, our share of income or loss from equity method investees may demonstrate volatility from period to period, as it may reflect corrections of prior period financial information provided to the company by the equity method investees. I would also note that certain equity method investees have been impacted significantly by lockdown measures in their respective geographies as a result of COVID-19. We expect that these equity method investees will continue to generate net losses in the near term as they recover from recent economic challenges and continue to ramp up operationally. As a reminder, pursuant to an election available under the relevant accounting standard, we pick up our share of profit or loss one quarter in arrears, meaning that the financial results of our equity method investees that we report for the quarter ended June 30 relate to their financial results for the quarter ended March 31. The net change in fair value of financial assets at fair value through profit or loss was an increase of 1.6 million for the quarter, compared with an increase of 1.5 million for the same period last year. There are several financial instruments in our portfolio that are classified as financial assets at fair value through profit or loss. The increase this quarter was primarily driven by the positive change in the fair value of our investments in the TerrAscend Canada terminal, Vert Mirabel preferred shares and Dynaleo convertible debenture, offset by a fair value decrease in our investment in a civilized convertible debenture. A detailed breakdown of the fair value changes in these instruments is included in note eight to our financial statements. After consideration of operating income, operating expenses, equity method investees and fair value changes, Canopy Rivers reported a net operating loss of $2.4 million for the quarter. Below the net loss loans, we capture the impact of net changes in fair value of financial assets at fair value through other comprehensive income, which is presented net effects. The net change in fair value was an increase of 10.7 million for the quarter, compared to a decrease of 5.7 million for the same period last year. Net increase this quarter was primarily attributable to the positive change in the fair value of our investments in Vert Mirabel common shares and TerrAscend exchangeable shares, slightly offset by a decrease in the fair value of our previous investment in JWC common shares due to the company's previously announced CCW [Indiscernible]. A detailed breakdown of the fair value changes in these instruments is included in note nine to our financial statements. To the extent share price volatility for public cannabis companies persists, we expect that we will continue to see significant movement and other comprehensive income or loss quarter-to-quarter. Total assets as of June 30 amounted to $308 million. The significant components to total assets included cash of $43.9 million, interest in royalty receivable net of provision for expected credit losses of $10.8 million. The shareholder loan and promissory note to PharmHouse for the carrying value of $42.5 million, investments in equity method investees with a carrying value of $46.5 million, investments in financial assets at fair value through profit or loss, the carrying value of $83.8 million and investments in financial assets at fair value through other comprehensive income with a carrying value of $75.3 million. Total liabilities as of June 30, amounting to $1.5 million. While we currently have no interest bearing debt, Canopy Rivers is a guarantor on the PharmHouse credit facility as referenced in our financial statements and MD&A. Accordingly, PharmHouse has not able to generate sufficient cash flows to service its obligations under the credit facility; Canopy Rivers may be required to recognize the financial liability relating to all or a portion of $90 million facility. There is minimal capital activity for the company during the quarter. Cash use and operating activities was 0.8 million, compared to 2.8 million for the same period last year. Cash used in investing activities was $1.9 million compared to $12.7 million for the same period last year, and primarily related to our investment in Dynaleo. Finally, cash used in financing activities was $0.1 million and primarily related to small bubble and share repurchases we completed pursuant for a previously announced normal course issuer bid. Decisions regarding further purchases under the normal course issuer bid will be based on several factors including, but not limited to market conditions share price, and alternative uses of available cash. I'll now turn it back over to Narbé for commentary on recent developments from Canopy Rivers and our portfolio companies.
Narbé Alexandrian: Thank you, Eddie. I want to first provide an update on PharmHouse, our joint venture asset in Leamington, Ontario. In Q4 2020, we announced that PharmHouse received a key license amendment from Health Canada, allowing for cultivation across its entire greenhouse space. This enabled PharmHouse to begin planting pursuant to its previously announced offtake agreements with Canopy Growth and TerrAscend. Subsequent to quarter end, for a variety of reasons, the previously anticipated timeline for PharmHouse to generate cash flows from these offtake agreements was not met, and also the timing of receipt of cash flow inflows is currently uncertain. Taking into account these factors as well as broader sector wide challenges impacting the Canadian cannabis industry, including a slower than expected build-up of the Canadian -- of the market and a general imbalance of supply and demand, the company believes that PharmHouse may have insufficient liquidity and capital resources to achieve its business objectives, and as a result that there exists material uncertainty regarding PharmHouse’s ability to meet its financial obligations as they become due. Recognizing the potential conflicts of interest that may arise given the relationship between the Company and PharmHouse’s counterparties to these offtake agreements, the company's board of directors formed a special committee comprised of independent directors to oversee and provide guidance relating to the company's investment in PharmHouse including the offtake agreements with canopy growth and TerrAscend and the company's guarantee of any obligation to PharmHouse, as well as to consider strategic alternatives for the company regarding its investment in PharmHouse, which may include but are not limited to any of the following. Provision of additional capital for PharmHouse in the form of any existing or new class of debt or equity, renegotiation of any of PharmHouse’s existing offtake agreements, or other material contracts, the establishment of new partnerships or the attainment of additional third party financing for PharmHouse or reorganizing or selling the company's interests in PharmHouse. And further as of its mandate, the special committee retained a financial advisor to assist it in assessing such strategic alternatives. In addition, based on the determination of the special committee, the company has contributed and expects that it will continue to contribute additional capital to finance PharmHouse’s on-going operation, while the special committee assesses these strategic alternatives. While the company is working towards a solution for its investment in PharmHouse that will be acceptable to the PharmHouse joint venture partner, there is no guarantee that a consensus will be reached amongst these parties. While we work through these challenges, progress continues at PharmHouse where the team recently finished its first harvest. On August 11, PharmHouse made its first shipments to Canopy growth. As the Canadian market for high THC value priced cannabis grows, PharmHouse is also in discussions with several other medium to large licensed producers that are looking for quality cannabis. The consumer demand for cannabis in the value category underscores our belief and the investment thesis behind PharmHouse. We continue to believe that PharmHouse’s positions become one of a few low cost leaders that will emerge in the Canadian market. Moving on to other portfolio updates, TerrAscend had a strong quarter, pre-announcing financial results that indicate early signs of success as they execute on their U.S. strategy, including net sales increase of 36% quarter-over-quarter and 169% year-over-year and adjusted EBITDA of US$11.4 million, a 131% quarter-over-quarter increase. TerrAscend share price has continued to increase, reaching a high of $5.02 on August 10, representing more than 100% increase from its March 30, 2020 closing share. TerrAscend market cap also crossed $1 billion following the announcement. As a reminder, we currently hold over 19 million exchangeable shares in TerrAscend that upon certain trigger events, including U.S. Federal and legalization, or permit permissibility will convert into common shares. That means that today, assuming conversion of our exchangeable shares, our investment in TerrAscend could have an implied value of approximately $100 million. The continued legalization of cannabis across many U.S. states leaves us optimistic that this triggering event could come sooner rather than later. High Beauty has also had success this past quarter, having expanded its beauty distribution line across the U.S., Canada and globally. The company expanded this topical product line by introducing CanB [ph] a cannabis hemp seed oil line focused on the everyday consumer. Between High Beauty’s core offering and a CanB [ph] offering the company is currently selling products into 34 retailers including Indigo, Sephora, Amazon, Shoppers Drug Mart, Macy's, Urban Outfitters, and many more, representing a total of 2308 stores. High Beauty’s pipeline continues to increase, and it anticipates it will be in over 2800 stores by the end of the calendar year. In our pipeline, we continue to receive, seek out and assess hundreds of pitches and deals every quarter. We have built relationships with licensed producers and multi state operators to which we can market our portfolio for Acquisition opportunities. We believe that these relationships will be important as some of these assets in our portfolio mature and prepare for a monetization event. The momentum we have seen in our portfolio in the past quarter leaves us excited to see what lies ahead for Canopy Rivers. There are challenges ahead of us, but myself, management and the board remain confident and our team’s ability to tackle these challenges and seize the opportunities in our pipeline. The industry is ever evolving, and we are prepared to move with it, shifting our strategy as needed, while still keeping our eye on the horizon for investment opportunities that may help put us in a better position to deliver value for shareholders in the long term. That concludes our formal remarks. Eddie and I are now pleased to answer your questions. Operator, please begin the question period.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions] One moment for your first question. Okay, so your first question comes from John Zamparo of CIBC. John, please go ahead.
John Zamparo: Thanks. Good morning, I was wondering if you could walk us through the reasons for PharmHouse’s inability to cultivate products. As you would like it in June’s call the expectation was that I think deliveries would begin later that month? So just trying to reconcile that with how the company is in the current position? It's a no.
Eddie Lucarelli: Hey, John, I can pick up on this question. Yes. So we spoke at the end of our last quarter and referenced the timeline that we anticipated for performances next developments. We certainly anticipated that there were going to be cash flows coming in around the timeline that we projected at that point. We referenced in the disclosure, there are a variety of factors that lead to a delay in the receipt of cash flows relevant to that timeline. Narbé referenced in his remarks, we do have a student [ph] that went out recently, that we're anticipating is a positive development for the company in terms of its demonstration of its ability to produce the product for centos [ph] offtake agreements and generate cash flow. So we're hopeful for the go forward path there. But certainly the delay in the timeline has caused the issues that we've identified. And that's why we're working to a solution to solve that near term liquidity.
John Zamparo: Okay, thanks. How much capital do you believe PharmHouse needs in order to course correct, and begin cultivating the way you would hope and how much incremental capital has Rivers contributed to PharmHouse subsequent to the quarter?
Eddie Lucarelli: So we can't provide a definitive answer on the amount of capital right now. And that's just because as we referenced in the disclosure, we're in the process of evaluating a series of alternatives and ultimately, the amount of capital that we do events will depend on which path we choose. We did put in some additional money recently, but we do fundamentally recognize that the amount of capital that we would anticipate putting into something that the market would want to know. And it's certainly our intent of once the evaluation that we're going through is completed, we'll keep the market apprised of developments in that regard.
John Zamparo: Okay, and what's the ultimate or the optimal outcome for PharmHouse from Rivers perspective among all the opportunities you listed? And what do you view as a reasonable timeline for completing the strategic review?
Eddie Lucarelli: So we would plan on completing the strategic review in the next month. And when we look at PharmHouse and the future of how it fits into the Canadian market. We do think that there's a there's a big opportunity here for low cost, high quality cannabis. We've seen so many facilities across the Canadian landscape, and many of them are built on old infrastructure that then delivers higher costs in terms of cultivating cannabis. There's a small set of facilities that are similar to PharmHouse that have ability to really get into market as a low cost leader and provide value in mainstream cannabis products to the market. So we think that we're pretty confident in PharmHouse’s ability to be a key pillar of that Canadian supply chain going forward.
John Zamparo: Okay, thank you. I’ll get back in the queue.
Operator: Your next question comes from Graeme Kreindler of Eight Capital. Graham, please go ahead.
Graeme Kreindler: Hi, good morning. Thank you for taking my questions. Just wanted to follow up on on the remarks about shipments from PharmHouse going out just a couple days ago in August. I was wondering, could you provide any details in terms of how large that shipment is, and was that a scheduled shipment? Is that more of a one-off? Thanks.
Narbé Alexandrian: Yes, thanks for the question Graham. We haven't disclosed the size of the shipment. As you know, PharmHouse did enter the offtake agreements with Canopy Growth and TerrAscend and end of shipments are pursuant to those offtake agreements. So it really is a shipment that's intended to service, the performance of those agreements. And again, that should be one out a few days ago. And as we said, we think it's a great first step performance demonstrating its ability to grow product pursuant to those offtake agreements.
Graeme Kreindler: And with respect to the performance of the offtake agreements, are there any sort of penalties built into them for non-performance? I just want to get some more detail in terms of what the ramifications are in terms of underperformance on that? Thanks.
Narbé Alexandrian: Yes, sure. So, we haven't disclosed the specific pricing or detail parameters of the offtake agreements from PharmHouse’s perspective, obviously its intention is to produce the product of the quality that the offtake partners would want to receive. As with all of greenhouses, there's actually going to be a ramp up period in terms of the ability to complete those first few harvests and develop the quality of product that's on spec and saleable in the marketplace. So PharmHouse is going through the steps to be able to produce that right now. And we're working with them to be able to make sure that they're able to perform their functions pursuant to those offtake agreements.
Graeme Kreindler: Okay, thanks. So as to put the question in other way, are there any significant liabilities that could arrive to PharmHouse based on non-performance of the offtake agreement?
Narbé Alexandrian: There is no liabilities that have been identified at this time at the PharmHouse level with respect to those offtake agreements. The focus right now is completing those first few harvests and developing and providing those first few shipments. And as we go forward, we’ll obviously be working closely with those offtake partners to ensure that those agreements are structured and working in a way that makes sense for all parties that are involved.
Graeme Kreindler: Okay, understood. And then just to shift topics here. With respect to River’s cash balance at the end of the quarter and considering there might be some capital dedicated to going into PharmHouse in the next little bit here. With respect to additional investment opportunities in the environment. I guess, number one, how you -- how are you balancing sourcing additional investment opportunities versus what you might need to do in PharmHouse. And then if you could give any insight or color on areas of the value chain or specific verticals that you're finding particularly interesting at this point in time, that would be appreciated. Thanks.
Narbé Alexandrian: Yes, I think that we're not -- that there's no slowdown of us looking at deals and assessing opportunities in the market. We still see hundreds of deals per quarter and we still assess companies across the entire value chain. Our sites have been on twofold looking at the Canadian -- three fourths of the Canadian market looked at the U.S. market and look at the European market as they come closer and closer to legalization for the two former. There's the two latter jurisdictions. When we look at making new investments, there's four key areas that we're really zoned in on. One would be plant science. We believe that to the success that we've seen at BioLumic, and ZeaKal in our portfolio, there's a huge area of need of some of the technologies that we've seen in the plant science side of traditional crops coming into the cannabis realm, and then we've seen some of the major players come into the cannabis segment. And we want to be a part of that that transition there. The second piece is on the biosynthetics portion. We've seen over 90 companies within the biosynthetic size and have a shortlist of a few companies that we think are really dominating the industry -- that sector and have the ability and the freedom to operate to get into to create and develop minor and major cannabinoids to the biosynthetics process. The third area we're really keen on is on the branding side, whether that be in Canada or the U.S. or globally. We see that there's not that much customer affinity and brand loyalty to brands at this point in time. In Canada as we know the challenges, the marketing restrictions and the ability to put that brand in front of customers. But elsewhere in the world, it's just because it's such a new industry. And we haven't seen the same type of rigor on consumer insights and really being obsessed over the consumer, as we've seen in traditional CPG. And that's why we're so bullish on the brand side. I think the last piece would be on the technology and data component. With our investments, the Leaf Link and Headset, we truly see that there is a gap in terms of data that this industry needs and that brands need in order to develop the next generation of skews and products. So we believe, that through the technology and data component, we can actually capture that data and whoever owns that data has a competitive advantage over many others in the industry.
Graeme Kreindler: Appreciate the insight. Thank you.
Operator: Your next question comes from Devin Schilling of PI Financial. Devin, please go ahead.
Devin Schilling: Hi, guys, just circling back here on PharmHouse. Is a cash burn right now largely related to OpEx or CapEx? And I guess is the facility expected to need any retrofits moving forward? Or is this cash burn? Just mainly attributable to OpEx not being covered by, I guess the pace of the turn offtake agreements?
Narbé Alexandrian: Yes, thanks for your question, Devin. It's the capital expenditures that the facility are complete. As you referenced in your question, it really is just the timing of the cash inflows pursuant to the offtake agreements and other sales with PharmHouse and the OpEx requirements.
Devin Schilling: Okay, and just remind you what the total debt outstanding was at PharmHouse so there was -- there's the $90 million debt facility as well as the $40 million you guys contributed Is that correct?
Eddie Lucarelli: Yes, that's correct. And there's one other piece of the capital structure, there is a 5 million demand. Note that the shareholders advanced and so the total capital between those pieces that you just identified would be 135 million.
Devin Schilling: Okay, great. Thanks. I'll jump back in the queue.
Operator: We have another question from John Zamparo. John, please go ahead.
John Zamparo: Hey, thanks for the follow up. If for whatever reason PharmHouse does solve its capital challenges, what's your level of confidence in the asset being able to sell into the offtake partners at the volumes that you'd previously thought about six months ago?
Narbé Alexandrian: Yes, so we have, we have confidence in the thesis around PharmHouse and what we've been saying in the market over the last few quarters in terms of its ability to really create a niche within the market. The PharmHouse -- the facility is quite large 1.3 million square feet or 23 football fields. So there's enough space in there to meet the offtake agreements that has currently in place with TerrAscend Canopy Growth. Beyond that, just because of the high level of automation in the greenhouse today, and the ability for and in the way that greenhouse is structured to be a very high tech cultivation facility that we have the confidence that PharmHouse has the cost structure and the ability to be one of the lowest cost cultivators in the market today, which means that as you're seeing price compression, and you've probably heard this over a number of different discussion as price compression continues within the dry flour and free roll segments, that won't affect PharmHouse as much it will affect some of the other players in the industry.
Eddie Lucarelli: I think John, is one thing I'd add to that is, as we've talked about before, the business plan for PharmHouse really extends beyond just your offtake agreements with those counterparties, are the IRS referencing the scope of the facility, the level of automation, and the various factors that we think are going to contribute to its ability to really be a true low cost producer in the country. So when you go forward and you think about the business plan, beyond that, you're looking at, servicing additional offtake partners in the future, you're looking at bringing value brands to market. And for all those reasons, we're very optimistic about what the path forward for PharmHouse could be. We're just navigating some of these short term obstacles in order to get to that point.
John Zamparo: Okay. And then moving back to the strategic alternatives process, how would you characterize the likelihood of an asset sale or the potential attractiveness of any offers given the availability of greenhouses in the market. And granted, it does seem like you have a higher quality assets and what else is available, but I mean it's an oversupplied industry. There's too much square footage in the industry right now. Just like to get your thoughts on them.
Eddie Lucarelli: Yes, john, candidly and I think Narbé referenced this before as well. We're still early on in that strategic review process. We do want to complete that evaluation on an expedited basis. But until we have more definitive views on what the final outcome there is going to be, we're going to defer answering that, but we will look to provide the market with an update on that as soon as reasonably practicable.
Narbé Alexandrian: I'll just add in there that, there is a general media headline but there's oversupply in the market, but the quality of inventory that that is over supplied to the market isn't what consumers want to buy. When you look at the discussions of different LPs MSOs like a lot of these companies do state that consumers are looking for quality cannabis 20% plus THC, cosmetically good for the blood structure is fairly large and is used for dry flower and pre-rolls. What we're seeing in the market in terms of oversupply is low teens percentage THC. So if you go on the OCS and you do a quick search of 20% plus THC, you'll see that you'll get a fraction of the number of pages as the entire skews of the market are. So there's definitely some improvement that’s needed on the inventory side, and not all inventory is built the same way.
John Zamparo: Thanks. And just a couple more, if I may. If we think about the bank debt at PharmHouse, if they aren't able to meet their financial obligations, does that bank debt then fall two rivers in alignment with your equity ownership? And then 49% of that debt? Is that how we should be thinking about that?
Narbé Alexandrian: Yes, well, as we refer to our disclosure, we are the guarantor on the bank debt, but we're also optimistic that we're going to be able to come to a solution that makes economic sense. So that is the purpose of the strategic review. That's being conducted with special community level right now. And again, we're optimistic that we're going to achieve an outcome that fulfills that purpose.
John Zamparo: Got it. Thanks. And then just the last one on a different subject with Mirabel. Is there any reason to suspect you're not able to monetize the preferred shares early 2021?
Narbé Alexandrian: Verbal decision really well, from a production perspective? I think, as you've seen, some of the actions that Canopy Growth has taken with respect to its production footprint, Mirabel remains a key component of that for them. The productions are, the quality of the harvest continues to improve over time. And, we're very optimistic in terms of that ability to monetize and as we referenced on the last earnings call, that’s certainly a priority for us, and a good source of liquidity within the existing portfolio as well.
John Zamparo: Okay, understood. That's all for me. Thank you very much.
Operator: As there are no further questions at this time. Please proceed.
Narbé Alexandrian: Great. So the cannabis industry is facing an inflection point with upcoming U.S. elections. We believe this is going to be a catalyst for companies all over the world as we wait to see how the U.S. fares in terms of cannabis legalization at the state level and more importantly at the federal level. In Canada, we're also seeing first sides of maturation of the industry, which will in turn lead to consolidation amongst players in the industry. While the capital markets have been volatile, retail sales continue to pick up, and we believe that the Canadian market is on pace to become a $7 billion to $9 billion industry. The industry continues to grow and we are positioning our portfolio to capture new market share. So as we look forward to what's to come. So thanks for joining us and look forward to discussing more on our next quarterly call.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.